Nicholas Holland: Good afternoon, everybody, or good morning, wherever you might be in the world today, and welcome to the year-end results of Gold Fields for the year ended December 31, 2020.  Joining me today are Paul Schmidt, our CFO, as always; and Avishkar Nagaser, our Head of Investor Relations.  If you look at the presentation in front of you, you can see a photograph there of Salares Norte. Given the fact that this project is now beginning to advance, we thought it'd be good to give you a snapshot of what it looks like. And we've got a few other photographs we'll show you later in the presentation. And as I'll indicate to you, we're making good progress on this project, and 2021 is going to be a big year for us in terms of advancing this project.  Moving on, forward-looking statements. I won't dwell on that. I'll leave that to you. Going on to the highlights on Slide 3. I think it's worth starting with COVID. Like most companies in our space and even in general business, we've all been impacted by COVID to a greater or a lesser extent. In our particular case, I think we've come through relatively unscathed compared to many others and in relation to what might have been. And in fact, only 2 of our operations have had interruptions in production. And it's cost us around about 80,000 ounces over the last year, which is around about 3.5% to 4% of total production. And that's really been at South Deep in South Africa and Cerro Corona in Peru where we experienced shutdowns for a period of weeks, complete shutdowns, and then ramping up gradually over the period thereafter.  I must say that the management of the pandemic in the group has focused first and, most importantly, on people, putting our people first. And so we didn't hesitate at any time to stop operations and even go beyond protocols that was set down by the governments in those countries that we're in.  We've seen also [indiscernible] at the beginning [indiscernible] with you a little later, and I think it's one of the big [indiscernible] in our business is what is the impact of the pandemic going to be in 2021. We know the impact last year. So it's something we've got to watch carefully. But having been through a year of this now, I think we're more prepared than what we have been in the past.  In terms of production, notwithstanding the COVID situation, we were able to increase our production by 2% as against the previous year, going up to 2.236 million ounces for the year under review, which, in comparison to where we might have been, is a hell of a lot better.  Mine cash flow, $868 million, almost $900 million of cash after all taxes, after all capital expenditure, all G&A, all site base costs and offsite costs that are allocated to those mines. So that's the real bottom line number.  And then if you take off expenditure on the Salares Norte project that we kicked off in earnest this year, around about $100 million of true capital, plus some additional predevelopment costs and exploration. Together with interest, the net cash flow from the core business is $631 million. Normalized earnings, up to $879 million, 2.5x the previous year, reflecting that we've been able to deliver the gold price to the bottom line.  Our dividend is ZAR 3.20 for this particular half year. And together with the interim dividend, that takes us to a total dividend for the year of ZAR 4.80 a share, which was a payout of around about 30% of our normalized earnings. It's in line with our policy. Our policy is to pay up between 25% and 35% of our normalized earnings. So we're right slap bang in the middle of that particular range. And that's been pretty consistent with the payouts we've been giving over the last 5 years.  Salares is tracking well. We're actually ahead of plan. Pure construction activities are up over 15%, and we thought we'd be just under 10% at this point in time. So things are going well. But we have to accept, of course, it's still early days, and there's still a lot of work to be done this year and in 2022.  We thought we'd disaggregate the balance sheet for you at the bottom of the slide so you can actually see the net debt, including the capitalized leases. But the figure I like to focus on is not so much the accounting number, but the real actual external debt that we owe to our lenders, which has dropped from $1.33 billion in 2019 to $640 million at the end of 2020. So in essence, we've taken off almost $700 million of our debt over the year.  Remember, we've incurred substantial expenditure over the last 4 years to buy and build Gruyere, to do the Damang life extension and, of course, to take Salares to where we are today. So all told, there's over $1 billion of spend to secure the future of Gold Fields that we've incurred. And now we're actually reaping some of the benefits, bringing those projects in, and we're delevering the balance sheet quite quickly.  Moving on then to Slide 4. In the back of the COVID situation, this is a slide we showed at the half year as well. So we've updated it for the situation as of just a few days ago. And I think as you've seen, we've tested a lot of people around the globe. In fact, if you look at the 72,000 tests we've done, and these are the real diagnostic tests that you can rely on, the PCR tests as it were. That means we've tested the global workforce, in effect, 4 times, although that's a bit distorted in that we haven't really tested in Australia. We still don't have any active or live cases in Australia remarkably so. Although the state itself has had some, we've not had any, on our minds, across Western Australia. So we've not been deploying PCR testing there. We haven't had to. So the 72,000 tests you see there are all concentrated in Ghana, South America and, of course, South Africa.  At this stage, we're sitting with active cases of around about 170. Those are people that are recovering. Fortunately, we only have 5 in hospital, and we're hopeful that they'll be discharged soon. Regrettably, over the year and up to the middle of February, we've lost 10 people to COVID, 8 of those at South Deep. So that's regrettable. And obviously, that's had an impact on people, on their morale, on their state of mind. So we've been focusing quite heavily on mental health, assistance to people who are feeling this is actually a real thing for them, that they know people who've contracted it, they have people in their family who suffered from it. So it's a very important thing for us to do.  And while we're on this slide, what I would also say is we're starting now to get to grips with the fact that COVID may be with us for much longer than initially thought. And we need to figure out how do we sustain our business given the fact we're not traveling, given the fact that a lot of people like me are working from home, the fact that we can't get service providers into the various jurisdictions that we operate in. And in addition, of course, the mental health issues and the fact that we may have a lot of people that are impacted by this virus over the next year or so.  So we are engaging specific advisers in each region we're in. Every country has got a different profile. Every country has got a different risk, helping us to manage these issues; ensure that our business is sustainable; that our people's health and their mental health, in particular, is looked after; and that we have a proper strategy with regard to the rollout of vaccines, working with industry forums. In South Africa, for example, we're working with the Minerals Council of South Africa as an industry, working out the best way for us to roll this out. And we're doing similar initiatives in Peru with the mine society, the chamber of mines in Ghana and, of course, the mining chamber in Perth as well, which regulates the industry. And we'll be figuring out a strategy over the coming months to try and make sure that our people across the group, the 16,000 people who work for us as well as communities that could be impacted, that we can play a role in helping to vaccinate them. We'll be working on a strategy with governments to work that out. So that's what I can tell you so far about COVID.  Our guidance for 2021 has not been factored down for COVID. It's an inherent risk in the business, and we'll have to see how it pans out. If we have to shut down operations, putting our people first or there are mandated shutdowns by government, we'll obviously keep the market informed and make sure that we limit the impact, first and foremost, on people and thereafter, on the sustainability of the business.  Moving on to Slide 5. I think if we just summarize the year under review. First of all, if you look at Australia, in the bottom right corner there, you can see it's been a phenomenal year for Australia. 1 million ounces of production plus, that's been bolstered by a full year of Gruyere given the fact that we reached commercial levels of production towards quarter 4 of 2019. So of course, in 2020, we had a full year of production, and you can see the impact of that. We pushed our production up. Gruyere has also a slightly lower cost than the rest of the operations, and that's also helped us as well coming in at all-in costs of $957 per ounce. That's fully loaded costs, folks. That's got everything in there. So there's nothing below the line you have to put back in afterwards. That's the full cost of producing an ounce, including all of the capital expenditure, et cetera. Cash flow from Australia, $498 million. Again, that's bottom line cash after everything, after taxes, capital. So great results from Australia.  West Africa, the second largest region, producing just under 800,000 ounces of attributable production to the group, with all-in costs of about $1,060 and also making very good cash flow, just over $250 million of cash for the year. So a great performance bolstered, of course, by Damang, particularly in the second half of the year, getting into the really good grades in the Tarkwa Phyllite, which is the high-grade part of the ore body we've been looking to get into for some time. We're in that now, and it's showing the benefits of the investment and moving all the waste above that to access that particular ore.  If we go to the Americas. Cerro Corona had a tough year, down around about 80,000 ounces or so from the previous year to 206,000 ounces. And it's really all down to COVID. The fact that Peru was particularly hard hit, the fact that it's a remote site in the Andes, a lot of our people come from Lima. So we had to shut down the operation for a period of time. We were running at half capacity for a number of months of the year. And we were forced to mill low-grade stockpiles that we were hoping to build up for the long-term life of mine plan that takes us to 2030. And at the same time, we couldn't mine all of the waste that we're looking to mine to actually accelerate the mining of the pit given that we're going to use the pit for input tailings from 2026 onwards. So that plan has been deferred. We've had to obviously make the best of what we could do, take some of the lower-grade ore that we can expose pretty quickly, take some of the low-grade stockpiles, mine a little bit out of sequence just to keep things moving along.  So it's been a tough year for us. It will take us 3 years to recover a lot of the waste that we couldn't mine. There's about 9 million tonnes of waste. We have deployed additional resources in terms of people, equipment and also additional accommodation facilities that are all COVID-friendly so we can start catching up. But the long-term integrity of the ore body and the long-term plan remains intact.  Lastly, if we look at South Africa, South Deep, also impacted by COVID. We ended up losing something around 32,000 ounces as a consequence of COVID. And sorry, just going back to Corona. I should have said, we lost about 46,000 ounces because of COVID. So that's the bulk of the decrease, 32,000 ounces at South Deep. And nevertheless, we still made some good money and ended up with cash flow of $34 million for the year.  And I think if you look at the momentum that's been built up at South Deep, it was most unfortunate having the COVID interruptions, but pleasing to see they're getting back to the pre-COVID levels gradually, and we're very optimistic about the future going forward. So that's a snapshot.  If you look at the group then, 9 mines, 1 project. Of course, that's Salares Norte in Chile. We're in 5 countries, 2.236 million ounces. All-in costs, $1,079, making $868 million from the mines, $631 million after interest and projects.  Moving on to Slide 6. This is a little bit of a look back and a bit of a look forward. I did mention earlier that we've been focusing on our key projects to deliver a long-term sustainable future for the company that will be profitable through the price cycles. Gruyere has come into production, which provides a long-life, low-cost operation with upside. Damang has now come into really good production levels in the second half, and we're starting to see the benefits of the $315 million we invested, and we're expecting to have a very good in '21, '22 and '23 where we think that costs of somewhere around about $800 an ounce will mean that these sort of prices today, this mine will generate substantial cash flow.  The restructuring we did at South Deep at the end of '18 was very painful but very necessary and helped to reshape and re-base the culture of the operation. We also managed to take over ZAR 1 billion a year out of our cost base. We turned it back to profitability, and we're slowly working on a number of interventions to improve it.  Our debt levels were never allowed to really get out of hand. But if we look where we've landed at the end of the year, debt now is at a level where it's almost something we don't have to lose too much sleep over at night. And the portfolio is set up now to do 2 million to 2.5 million ounces a year, somewhere in that range, for the next 10 years, with the upside beyond that. I don't think there's too many gold companies that can stand up with confidence and say that that's what we have on the table for investors at costs, which are more defensive, given the low-cost assets we brought in and, of course, with Salares that will be producing somewhere around about 450,000 ounces a year at all-in cost below $500 per ounce. And we've managed to deliver the gold price to the bottom line. ESG targets, I'm going to talk about how we've integrated those into the business and what we're looking to do going forward.  Looking at Salares. It's in construction. The next 18 months are going to be key. We started the pre-strip in early January. And remember, there's around about 50 million to 60 million tonnes of barren waste we've got to move before we can expose the ore body and get into those nice high-grade epithermal veins as part of the system. So we've got to actually get through all of that. And at the same time, we've also started the process plant construction. So now we're into the big year, $500 million of capital, which is around about 60% of the total capital spent on the project.  We remain very excited about brownfields opportunities across the portfolio. We're seeing at St Ives, the Invincible complex continues to grow both at depth and laterally. We haven't seen the limits of this ore body yet.  At Agnew, we're seeing a transformation in terms of what we're going to do with this asset. You've seen a big increase in its reserves, and you're going to see an increase in its production profile over the next 3 to 5 years as we convert that exploration success to a rising production profile.  Cerro Corona, we have potential to go beyond 2030. So we'll be doing some further studies this year to look at the potential for a mini cutback of sorts. We're going to be informed by some additional drilling at depth and getting a good understanding of the potential, more likely to the east of the ore body.  On Damang, although we're doing very well on the production, we have to have an eye on the future, and we're doing studies on a further cutback. Bearing in mind, we have a resource of about 6 million ounces at Damang. We have a reserve of 1 million ounces. So that sort of tells you there's opportunities to convert resources. And we're looking at different scenarios whereby, possibly, we have a couple of additional cuts, whereby we de-risk the projects, and also, we manage this over the life of mine. So we'll update you towards the end of the year, but it's likely we'll be adding a few more years to Damang if all goes well in the next 12 months or so.  I don't think we need to rush into expensive M&A. A lot of people have asked us. The profile is set up. Salares, I think, is one of the better investments we can make. There's not unlimited capital, of course, in these markets. And with the brownfields exploration opportunities, that is a low-cost addition to mine life at all of our operations and low risk as well because we know those ore bodies.  We've also summarized our reserves at the end of the year, fairly hot off the press. And again, we've managed to increase our reserves. And if we look at the reserves outside of South Africa, we're over 20 million ounces of attributable reserves, and that compares well to many companies in the top 10 in the gold industry. So I think we're competing with most of the peer group in our space, and we see further upside. We continue to replace what we mine in Australia and some, and I think that's something that we'll potentially see, particularly in the likes of Agnew and potentially at St Ives going forward.  Tarkwa, I'm delighted that we've been able to put back everything that we've mined into our reserves, particularly as this is our largest mine in the group, 500,000 ounces a year of production. So in a way, it's the flagship operation, a very large open pit moving about 90 million tonnes a year. So delighted that we could put back everything into reserves and some.  On Slide 8, we're listing here all of the ESG priorities for the coming year. And there are five clusters, really. It's about, obviously, safety and health of our workforce as well as impacts on associated communities around us. Our goal is 0 fatalities and no serious injuries. We've got work to do because, unfortunately, we had a fatality in 2020. We lost Abel Magajane at South Deep to an accident, and we also have 13 serious injuries as against 12 and 1 fatality in 2019. So we have work to do on our safety.  Vehicle accidents, we want to eliminate. So we're putting in collision avoidance systems across the group. That's vehicle to vehicle, vehicle to person so that we can avoid those kind of fatalities in our industry. And then in the spirit of this whole cleaner, safer vehicles, which is an initiative that we've been driving together with the ICMM, we're also looking to reduce diesel underground. I think the long-term goal is eventually to get diesel out of underground mines. The first step, though, is let's make sure we have the best generation filters to reduce diesel particulates and also improve ventilation practices. But eventually, we want to have -- it's part of a long-term aspiration to move off diesel underground completely, and we're working on that, as you'll see.  Also, we don't want to have environmental issues with communities. We're going to make sure that none of the things we do have an impact on those around us.  Diversity and inclusion. We're going to be setting some targets on that. Currently, we have around 20% of women in the workforce. So we do want to increase that and provide opportunities for our workforce to match the demographics over time. A shared value is something you know that we've embraced over the last 8 or 9 years. And that's manifested itself in greater host community employment and procurement, particularly in-country procurement, whereby these activities, together with social investment, mean that around about $650 million or so or almost 30% of our spend is concentrated in host communities, making an impact, therefore, where the mines are.  Carbon emissions will continue to be a key for us. You know that we've reduced 640 tonnes of carbon based on the ESG presentation I did a couple of months back, and we're going to be setting targets to reduce that further. Renewables is going to have a key role to play in that together with moving off higher carbon type of energy. And we'll be looking at more renewables in Australia. We've concentrated on Agnew. We've done something at Granny Smith. We're now going to be looking at St Ives and also at Gruyere. So I think there's low-hanging fruit for us in those areas in particular.  Electric vehicles underground. We are trialing a vehicle underground in Australia. And if that works for us, that may well be the blueprint for us to roll out something bigger across the underground mines in the group.  Fresh water, of course, is key, reducing our reliance on fresh water, recycling more often. So -- and doing a lot more through this. We had a good year on this, more work to be done. I think you all know that tailings dams have been topical in the news because of the tragedy in Brazil. We've signed up, obviously, as ICMM members, to the new standard, and we'll be rolling out that standard over the next 3 to 5 years in accordance with the commitments given by both the ICMM on our behalf and directly ourselves. We're doing a gap analysis at the moment, and we would expect to have a good idea as to what we need to do during the course of the middle of 2021. Thank you.  Next slide 9. Cash generation, I mentioned, has been very good. And you can see over here at the bottom, had one of our best years ever on our net cash flow. And you can see our capital expenditure being pretty much in line with what we said, slightly under, in fact, than what we guided at the beginning of the year. And I've given you all of those cash flow numbers. So I won't go through those again, except to say that another $600 million to $700 million taken off the debt. This last year has been fantastic.  Moving on to Slide 10. I must just credit Paul and his team here for doing a fantastic job in extending our maturities. We had a $1 billion bond we had to pay off in October, of which, around $600 million was outstanding. And we prefinanced that by putting in 2 new bonds, one out of 24, $500 million, one out of 29 of $500 million. So we're in pretty good shape now in terms of our tenors, our maturity profile. And with the cash flow we're making, we're in pretty good shape to make sure that there's no near-term liquidity crunch, particularly [indiscernible] sitting with $900 million of cash on the balance sheet.  Slide 11. On Salares Norte, it's not often that you have virtually all of your engineering completed before you start a project in earnest. And in the number of projects I've been involved in, in Gold Fields over the last 25 years, it's the first time we've been here. Why is that important? The more front-end work you can do, the less the risk at the back end of the project and the risk of scope changes and scope creep because you really understand the detail behind it. So that puts us in a great position, and it de-risks the entire project profile.  Construction progress, as I mentioned, is at 15%, slightly ahead of plan. Our camp construction is finished. This is something I've been watching quite carefully because I know from experience that on these remote sites, if you don't have enough beds in the camp, if there's a crunch, you're going to have to pull back activities. Now the nearest town is probably 80 to 90 kilometers away. Copiapó, the nearest big city, is 5 hours by road. So we have to have accommodation on site. We've already got over 1,600 beds as we speak. And peak manning on the project looks like it's about 1,400. And so that's a big de-risker again.  We spent about $150 million this last year, 2/3 of that was on the project itself. And then, of course, we continue exploring around us. The big focus last year has been on Horizonte. Bearing in mind, the footprint of that is about 4x the size of the combined Brecha Principal and Agua Amarga targets that comprise the current Salares. Some interesting results we're going to continue, but also start looking at some of the other targets around us with a view to making sure that a 10-year mine life is extended at least by the mid life and not later.  Construction activities commenced in earnest through diversion channels, bulk earthworks so we can actually start the process of construction. The mining contractor did all the early pioneering works, building ROM pads, creating access roads, that sort of thing. So they could actually get going with the pre-strip, which happened in early January and which we announced.  87% of orders have been placed. What does that mean? It means we've priced 87% of the total project spend. And the only thing we have to worry about really is escalation on those particular items. So we don't see big scope changes given that the detail engineering is virtually done. So that's where we are.  The chinchillas, which are these protected little rodents, we've had to suspend our activities, capturing them and looking to rehouse them. The protocols weren't working. We lost 2 chinchillas out of 4, unfortunately. And so we've engaged with the authorities to come up with a new plan so that we can find a sustainable solution for these protected species.  Here are some photographs of Salares. The camp in the top left. You can see the overall plant site. Pre-stripping has started at the bottom. So these activities are real. They're happening. And then you can see the footprint of the workshop -- earthworks that we're setting up over there and the foundation that's coming.  Resources and reserves. Pleased to say we've increased our attributable reserves -- I'm on Slide 13 now -- to 52.1 million ounces from 51.3 million ounces. A great performance at South Deep, on the back of lower cutoff grades that we've been able to bring some reserves in. Tremendous performance from Australia, putting back way more than we depleted. And Ghana, through Tarkwa, essentially putting back, if you just look at Damang and Tarkwa, putting back what we depleted as well. And Americas, fairly similar. So a really good result for the group.  And I think if you look at this picture over the longer term, as to what we've done on Slide 14, I've got the guys to put the sliding because I thought it was quite useful. If you look from the end of 2015 up to the end of 2020, and this was after depletion, we put back something like 5 million ounces after depletion, which is a 9% reserve growth over the 5 years. And the average cost of discovery of these ounces we're putting in is less than $100 an ounce, when M&A at the moment in our space is anything from $200 to $400 an ounce. This is really good business for us, and we're extending ore bodies that are within reach of infrastructure, within easy haulage distance, extension of underground ore bodies, et cetera, ore bodies that we understand. So I think this shows you why we've been excited about organic growth and why we continue to be excited about it going forward into the future.  I've talked about this briefly, but I should mention that at Tarkwa, in particular, we've got potential 20 kilometers of a strike extension around the 4-man pits that we're mining. And it looks, based on the structures, these large paleoplacer ore bodies, very consistent ore thickness, very consistent grades, multiple reef packages, stacked conglomerate packages, very similar to what you see in the [indiscernible] ore bodies but in an open pit type of scenario. So I'm sure we'll see a lot more from Tarkwa coming forward.  I've talked about the Invincible complex in Australia, greater Agnew. Granny Smith, we still have another big zone at depth, which, if it's going to be anything like what we've seen above it, there's probably another 2 million to 2.5 million ounces in situ. Extraction ratio in the past has been around about 60%. So a lot of life extension potential.  At Gruyere, we're probably going to be looking at a midyear declaration update because there are some additional reserves. We've been in discussions with our partners, Gold Road, on that. And we're looking at the potential below the pit for underground potential down the road. So we'll be doing a deep drilling program during the course of 2021.  Looking briefly at the regions. Australia, as I mentioned, 1 million ounces over the last year. Nice to see the reserves are up at 7.5 million ounces in the bottom line there compared to 6.9 million ounces, that's after depletion. So we're really in great shape. Projects or the expansion of the plant at Agnew, which starts with a replacement of the crusher, and then we'll go into the [indiscernible] in 2022. A second decline in Granny Smith to debottleneck the mine, particularly as we get in deeper, so we can maintain 250,000 ounces a year, and then further lateral development at Invincible to capitalize on that project. So that's Australia.  If we move to Slide 18. That's Peru. I've covered a lot of this. It was a torrid year for Peru, but the integrity of the long-term plan remains intact. Notwithstanding all of that, they still made over $80 million over the course of the year. So that was a great achievement for them. And we're starting to think about longer-term growth opportunities in Peru. We have a stake in Chicama, which has a solid ad project. It's called in Ancash, further up, and further down, rather, I should say, from Cajamarca. And we're up to 20% now. We're quite excited. A series of Brecha pipes, copper gold -- copper gold potential there, and we'll see how that pans out. They will be doing some more exploration to that. And then we just announced a deal with Regulus on a little area of ground called Don Jorge that we own with an idea to see if this is a catalyst for some kind of bigger cooperation in the area.  West Africa, it's really all about the performance of Damang that the second half of the year -- as we said it would be in August, the second half has actually come in even better than what we thought it would, given that we're now in the Tarkwa Phyllites, the high-grade ore body that we were looking to get into, and that's made a big difference to us, and that will be the mainstay and the main proportion of our total feed from the different rock types over the next 2 to 3 years. Tarkwa has just been very consistent and steady. And the investment plan at Damang continues to track well against the original approved project. And together with dividends from Asanko, we made almost $300 million from the region.  South Deep, again, impacted by COVID, but still managed to marginally increase its production against the previous year. And we're pretty confident that the integrity of our long-term plans to improve this operation remain intact. Many of you have asked me over the last year or 2, what is the long-term profile of South Deep? We've been quite quiet on this one because we've had many targets we've had to take off the table. But I think given 2 years of delivery and consistent production, we're quite confident to say that we think we can increase by 20% to 30% over the coming sort of 4 to 5 years of the 2021 guidance of 289,000 ounces. One of the reasons we're getting more optimistic, if you look at this graph in the bottom right corner, you'll see that our development, productivity has improved over the last couple of years, and our stoping productivity has improved. Now those stoping tonnes are really important because as you increase the proportion of mining from stoping, you get much bigger cuts, you get much bigger tonnes than what you can get in a normal development end. You're opening a whole cavity. And as you improve your performance in those areas of your compliance, as you increase the number of stopes, it has a significant impact on the overall volume reporting to the plant. So more delivery to come from South Deep into the future.  Looking at the outlook, lastly. If we go to the last slide, Page 22. As summarized in the book that we published this morning, our attributable production for this year, 2.3 million to 2.35 million ounces. So that's up about 100,000 ounces from the previous year. All-in sustaining costs, a little bit up on the back of some of the activities I've spoken about, some exchange rate fluctuations and things. And then all-in costs, including Salares, if we put that in, somewhere between $1,310 and $1,350. But if you exclude Salares from those all-in costs, then we're somewhere around about $1,100 an ounce. Capital next this year, a big year. Almost $1.2 billion of capital. Of course, $500 million of that comes from Salares Norte.  I mentioned the ongoing risks of COVID. In fact, we've got a watch first, and we may need to reassess the production profiles of our group. Salares, I think the key thing is for us to stick to the schedule because by the end of this year, we'll be 70% through the project and continue to embed the productivity improvements and the culture change that we've brought about at South Deep, which will help us to bring about almost a 30% increase in production. That looks high. But bear in mind, had we achieved the original plan, South Deep would have made somewhere around about 245,000 to 250,000 ounces. So against that base, this increase is not that significant. And we want to continue reducing our net debt, de-gearing and maintain our policy.  So with that, this is going to be the last set of results that I will be reporting given my retirement coming up at the end of March, and I hope that you'll welcome Chris Griffith into the company from the 1st of April. I think Gold Fields has been very lucky to get Chris to join us. And I'm sure that he'll work together with a strong executive team and all the people in Gold Fields and taking this company to the next level.  So I think with that, we'll hand back to questions. Sorry, I've taken a little bit more time maybe than I wanted to, but one gets quite passionate talking about really good numbers, and it's been a good year for Gold Fields. So Irene, we'll hand back to questions. Thank you.
A - Unidentified Company Representative: Okay. I'm going to take the first question from the webcast, and then we'll go to the conference call. So the -- from the webcast, the question relates to how much emphasis have we put on reducing pollution by harnessing clean technologies and renewable energy during 2020?
Nicholas Holland: Yes. So the renewables, as we've said, have been rolled out at Agnew. We've got a micro grid there. We have a solar project at Granny Smith. The solar project we want to do at South Deep is going to be 40 megs. That's going to be around about 15% to 20% of total baseload. We're encouraged by the process through NERSA, which is the regulating body here. And I'm hopeful that we'll get final approval from NERSA at the end of February. We've been in touch for the Eskom. Because this will be an Island Mer project, we just need to do some technical checks to make sure there'll be no impact on the grid. I think they're pretty confident there won't be any issues. And if all goes well, we could be making a final decision, taking this back to the Board during the course of March and getting ready to start constructing this. That will make a big difference to reducing our carbon emissions.  I think we sort of said if we did South Deep on the back of what we've done in Australia, we'd take the whole group to over 10% of renewables in terms of energy sources. So that's a big ticket item. I mentioned earlier that at St Ives and Gruyere in Australia, we're also going to be looking at what we learned from Agnew and Granny Smith and rolling out those projects as well. There's a great opportunity for us to harness that as well.  We are testing a battery loader underground at St Ives, and we'll see how that pans out. But if that works, it may be that we'll move on to battery electric underground. We're still looking at hydrogen as well. But at this stage, battery electric looks like it might work better for us.  And then at Tarkwa, we're going to be looking at a hybrid diesel gas vehicle, which will reduce emissions. It won't completely take the emissions away, but it moves from higher carbon to lower carbon. And so those are some of the main initiatives we're working on, which will have, I think, a step change so that by the end of '21, we can report more progress on these projects.
Unidentified Company Representative: Okay. And we have a question from Nkateko at Investec. What is the maximum in terms of steady-state production at the restructured South Deep? It is the circa 377,000 ounces per annum we are guiding for in the next 3 to 4 years?
Nicholas Holland: Look, we wouldn't want to give any cap on what South Deep can do. But because people have been asking us and because we took long-term guidance off the table, what we have said in this presentation and in the book is we believe that we can increase by between 20% and 30% over the next 4 to 5 years of the '21 guidance of 290,000 ounces. So nominally, that might be somewhere between 60,000 and about 90,000 ounces on top of our guidance for 2021. That doesn't mean that's the end. That's what we'd like to try and target in the short to medium term.  But the sky is a limit here over time, particularly as we embrace more technology and particularly as we get the heart of the mining into north of Wrench. If we can move away from the scattered mining above, the infrastructure that we largely inherited when we bought this and actually concentrate the mining on the areas Gold Fields developed, which are much easier to mine, haulages better set up, tips are much closer, a lot of direct dumping as well. If we get more of our mining in there, that's going to give us a step change as well. So let's not cap anything. But I think as a minimum, we want to try and achieve that over the next 4 to 5 years.
Unidentified Company Representative: Okay. Another one from Investec. The operations [indiscernible] associated with COVID of roughly $35 million in 2020, can we expect a similar number in 2021?
Nicholas Holland: I would say -- unless we have significant cuts in production because of mandated shutdowns, I would say no. A lot of these are nonrecurring items. For example, we expanded accommodation facilities at Cerro Corona. We expanded some facilities as well at Salares, as I mentioned earlier. We've had to man step-down areas for people to recover. We've had to put on additional flex in Australia because we had to operate the plants with half loadings. We have to bring in additional resources because people were incapacitated. That's an extra cost.  So no, I think a lot of it is a one-off. But if things change, sure, I mean, some of those costs are going to come back, and it's indeterminable as to what they might be.
Unidentified Company Representative: Okay. Can we take the question from the conference call, please?
Operator: Our first question from the conference is from Leroy Mnguni of HSBC.
Leroy Mnguni: I'm just trying to get an overall picture of the movement in your reserves. So at a total level, your attributable reserves seems like it only increased about 2%, but you've had significant increases in Australia and at South Deep. Where have they declined? Does that Asanko exclusion account for all of that? Or are there other areas where your reserves have declined? That's my first question.  And then my second question is just on Slide 15, where you detail the organic growth opportunities, particularly in Australia. Which of those are more sort of life extension? And which of those are potentially an increase in production?
Nicholas Holland: Okay. Let me go to the back end first. I think all of the stuff that we are looking at in Australia should be seen as life extension. If you look at our process plants, a lot of our process plants other than Granny Smith are operating close to capacity. So there isn't much potential for us to put more through the process plants. And the problem with the Granny Smith is that there's only so much you can get out of the whole given the multiple levels we're mining. So even if we wanted to accelerate, it's unlikely we could put more through the plant. And Granny Smith is a one ore source operation. There's only the wall at the underground mine. There's nothing else. So it's really life extension.  Looking at the reserves, Damang has obviously come off. We've had some modeling changes, and we've had depletion. So there's no push back also at Cerro Corona. We haven't added anything there as well. Tarkwa is sort of just about kept level with where it is. So the pluses and minuses give you a net increase of around about 1 million ounces a year.  What we'll do is we'll give you -- we'll do a little recon for you, giving you a little breakdown. I'll send it to you after this call.
Operator: Our next question is from Jared Hoover of RMB Morgan Stanley.
Jared Hoover: Just a few questions from my side, please. My thought around Salares Norte. It looks like, as you mentioned, a lot of the detailed engineering work has done, and you've managed to mitigate a lot of the risks that we would find in other projects. But I wondered if you could chat about maybe within the country, I mean, there's been a lot of increases in COVID-19 cases. And globally, logistics are a problem and you guys are fabricating off-site. So in terms of an importation, and therefore, transportation up into the project site, you probably have to go through a few different provinces and cities. Do you foresee any delays in that if they have different sort of COVID-19 protocols?  And one more on Salares Norte. Just how big an issue do you see this chinchilla issue? I mean, there have been other global mining projects that have been stalled by an inability to relocate indigenous animals. So if you could just chat through those, please. And then I'll just follow up with one more after that.
Nicholas Holland: Yes. In terms of access roads, as you correctly say, all the fabrication is done off-site. We've plotted all the roads through. We've made sure the roads are possible that can take the big trucks. But another thing we've done as part of our risk mitigation is we've looked at alternative routes to make sure that there are other ways through here. So we're reasonably confident that we can get the stuff to site.  If there would be further delays, there's going to be an impact. I think one thing we've said in the book, a generic statement, there's no factoring down of anything this year because of COVID because we can't determine it with any degree of accuracy, whether it will happen, the extent which it happens, how long? So if COVID happens, it's going to have an impact. We've got some flex in the projects in addition to around about $85 million of contingency, we've got in Salares and that $860 million. We've also got some time contingency, around about 5 months of time contingency. That may be needed anyway because things just run late. But if COVID comes through in a big way and there are mandated shutdowns, it's going to affect the project, the degree to which we can't determine at this point in time. So that's the one aspect.  The chinchilla, we're operating or we're operating in accordance with a later plan given to us by the authorities. And what we've discovered is that the area that we had these chinchilla in was probably too small given how they roam in their natural habitat. And then actually, that contributed to 2 of them dying, unfortunately. And so we went back to the authorities, and we said, look, we think we need a different plan here compared to the one you told us to follow. And they are open to that. And so we released the other 2 chinchilla. And once we've got a kind of plan approved, we'll start it again.  And I just want to mention, there's no big urgency with this. It's not going to impact any activities during the construction. So we've got a year or 2 to fix this. And so what we'd rather do is really look at it, we brought in the experts to understand these species and how they live. And we're working together with the authorities for another plan. There's no indication that this is going to be a problem. We've also made it quite clear to various ESG groups that are interested in this, what we're doing, there's visibility on our plans, and we'll do what's necessary to protect the species.
Jared Hoover: Great. And then -- so just two more. The other was it looked like there's quite a large working capital build into the second half of the year. Can we expect something similar given Salares Norte going into peak CapEx this year?  And then my last question was just around South Deep. I know you've given almost indicative guidance over the next 3 to 4 years and how you see the production building out. But should we be thinking about that as you potentially having more OpEx and CapEx coming through given you've restructured the asset for about 250,000 to 270,000 footprint? Or should we be thinking that you're just going to continue improving your productivity, and that's going to drive a bit of a production bump going forward?
Nicholas Holland: Paul answer the first question, and I'll do the second. Just unmute, Paul.
Paul Schmidt: Sorry. On the working capital, I don't think we can expect the numbers you saw this year. We should return to the historical norms. The big reason for this year is because of the changing year into calendar year-end, we had a fifth cycle of creditors' payments that came through. We had big GIP buildup, despite it being a credit on the cost, it's a negative on the working capital. And also, we had a lot of prepayments at Salares Norte for capital, which will unwind next year.
Nicholas Holland: So in terms of the second question, let's just remember at South Deep that the essential infrastructure of the mine is built. We got the backfill facility on surface. We got the process plant on surface. We've got the twin shaft system, which was built some time ago. Obviously, there's ongoing maintenance for the fixed infrastructure. There's going to be fleet replacements and rebuilds of our trucks and our loaders, et cetera. But I think the main item you're going to see coming through in '21 and beyond is getting back to the new mine development, opening up the deeper part of mine where there's 10 million ounces of reserves waiting for us, and that's really just extending our infrastructure and our cuts down into the north of Wrench area. And you'll see that coming through this year and into the following year.  It's actually no different from what we do at, say, Invincible underground in Australia. It's follow-on development, by and large, that we'll be undertaking during the course of this year and the next couple of years to open up the mining fronts so that we can deliver that 20% to 30% increase in production. And from time to time, there's going to be fleet replacements. And our fleet has a typical life of about 6 years or so. So as fleet comes to the end, you have to replace it. But it doesn't come all at once because different parts of the fleet have different life cycle processes. So luckily, it's not all happening at once. Hopefully, that clarifies it for you.
Jared Hoover: Yes. Great. So just to sum it up, I guess it's probably more incremental on the OpEx and CapEx. And as you get into the north of Wrench area, hopefully, productivity also picks up with that?
Nicholas Holland: Yes. I mean, I don't see a massive pickup in OpEx other than, obviously, the variable cost components of additional tonnes, which on South Deep, is not that high. And as I said, the new mine development we're going to be doing this year is probably a good yardstick for what we'll see in the years to follow.
Operator: Our next question is from Patrick Mann of Bank of America.
Patrick Mann: I had two questions. One was around capital allocation. So obviously, in a big CapEx year for Gold Fields this year, but net debt is -- has come down quite nicely. And if gold prices hang around here, the 25% to 35%, it looks like you'll still build up a fair amount of cash. I mean, how would you think about allocating that capital kind of maybe post this big CapEx here?  And then, Nick, maybe one for you. You've been outspoken over the years as a kind of gold industry CEO about the industry not investing enough for replacement and a lot of the M&A being driven by kind of survival needs rather than, I suppose, rational or value-accretive transactions. Maybe do you just want to give us a -- your thoughts on the industry and what the key things investors should look out for in the next kind of 1 to 2 years? Because I think we're going to miss having your views being put out there each time.
Nicholas Holland: Yes. Let me start at the back end, and I'll work back to the front question. As I've said before, and I've given you this presentation, I think, a couple of times over the last 3 years, the industry is not only -- not explored enough over the last 20 years. It's actually been slowly strangling its minds of not only growth capital, but also sustaining capital. And when you see sustaining capital coming down, that's a worry because that normally means you're going to have a near-term production impact. I think you'll find companies are going to use the windfall in the gold price to try and catch up some of the capital they haven't spent. And we've had outside research companies doing a lot of this analysis for us. So it's not just a gut feel. It's based on empirical data that we put together and we update each year and have done so over the last 5 years.  I think that leads into the second question about mergers. Mergers, I think, are driven largely by survival. And people try and argue about synergies, and if you look at big bank mergers over time, a lot of the synergies that were promised were never delivered. In fact, if anything, they went the other way as they had to equalize cost between companies with different philosophies on remuneration and having consolidation of suppliers, contractors, et cetera. So I think a lot of it's driven by the fact that companies are running out of road, and they have to do something to make up for that.  There's an argument that we're catering to a new category of investor. The index funds that want the big caps to invest in. But I think that's a small part of the answer. And the problem you've got is when you created these big monsters, how do you keep feeding them? How do you keep replacing a 6 million, 7 million-ounce company? It means every year, you've got to be finding roughly 14 million ounces. Because adding half of that, if you're lucky, will convert into a reserve. It's well-known impossible. And so therefore, it's either going to mean the big guys following up the smaller guys or it's going to be big bank mergers so that people can actually keep things going.  We've always said we want to be in charge of our own destiny, and we don't want to be beholden to anybody else to figure out our strategy. And therefore, we've been opportunistic on M&A. We've created now a wonderful base of organic growth. We've got Salares.  And capital allocation, I think we can see further life extension at Invincible, which will flow through into St Ives. That will mean ongoing spend. And just to bear in mind, we are building new mines all the time. It's in our spend already. Last year, we've actually brought in a new mine called Hamlet North. I don't think you saw it in the past did you? Because as some capital expenditure comes off, other capital comes in, and St Ives is a very dynamic operation. So you didn't see the impact of Hamlet North coming. You didn't see the impact of the additional [indiscernible] of the Neptune open pit at St Ives. You didn't see the impact -- significant impact that is of opening up Zone 135, Zone 110, 120 at Granny Smith, but there's significant ventilation. Risers will need to be put in, upfront development, second escape ways. There's a whole bunch of stuff you've got to put in place to get those areas ready to mine. And we've been basically handling that within our bucket of capital expenditure.  And so I would say the ones to watch for is are we going to do another Damang, a pushback that is obviously going to be visible capital like the original pushback was. Tarkwa, I think, would just continue to push out the mining boundaries because we're doing a lot of stripping already at Tarkwa. Australia, Gruyere, if we did an expansion of the pit, that will only happen in years to come. It won't happen in the first few years. And in Corona, again, I think it's more a focus there of catching up the waste and doing the study on a potential for the cutback. South Deep, if you look at the capital we're spending this year, that's going to be a pretty good yardstick to what you can look at going forward. Roughly about ZAR 1 billion to ZAR 1.1 billion a year is what you can expect steady state from South Deep with a rising production profile. Hopefully, that answers your question, Patrick.
Operator: Our next question is from Shilan Modi of UBS.
Shilan Modi: A couple of questions on Salares. Previously, you mentioned that you had some sort of FX buffer through hedging in terms of the CapEx. I believe it was 60% hedged in Chilean pesos. Producer currencies have strengthened quite dramatically in the last couple of months. What sort of -- what state is that buffer in? Like does it still exist or is that being eroded? I'm trying to get a gauge for the $860 million CapEx if there's potential risks to that number.  And then just in terms of reserves and resources. I mean, you've shown strong growth in reserves and resources over the last couple of years. Maybe just outline the strategy for Australia again and maybe highlight Agnew, in particular, given that it's potentially the shortest life asset you have there. And then maybe can you also explain the same type of philosophy around Damang? Effectively, Agnew and Damang appeared to be the lowest life assets. I'm trying to gauge whether Salares is more replacement or if it's -- if those assets can persist and then actualize Salares' growth.
Nicholas Holland: Paul, do you want to talk about the hedge?
Paul Schmidt: Yes. I mean, as you know, we hedged the full peso component. It was just over $500 million worth. We hedged it at CLP 856 to the U.S. dollar, obviously, where the peso is sitting now. One of the most valuable assets on our balance sheet is the mark-to-market of that hedge. And we're just letting it roll in as we are delivering or buying the dollars to convert to the peso. So yes, we had exposures. It has been totally covered by the hedge, and it's proving to be a very lucrative hedge that we put in place.
Nicholas Holland: Okay. So coming back to Agnew. Agnew now has potential on 3 fronts. We've got the Buronga North and Kath area, which continues to be open at depth and also laterally. We have Sheba across at New Holland, which looks the most perspective, but there's a few other targets that are looking good. And the new front is the Redeemer complex with what we call Barren Lands, but there's nothing Barren about Barren Lands. And we're going to be doing a study on an open pit and an underground operation there.  So what does all of that mean? It means that Agnew's reserves will continue to grow. We will more than likely double the reserves or at least go up to 1.5 million ounces within the next couple of years, I would think, with the exploration budget that we've allocated. And at the same time, having a tiny plant of only 1.2 million tonne a year doesn't seem to make a sense with what's coming at us. And so we've started with the front end. We're replacing the crusher, which had to be replaced anyway. And so if we're going to replace it, let's upgrade it. It's marginal extra cost to do so. Then we'll start on the grind circuit. There may be a second ball mill that we can bring in a separate line, and then we'll look at the back end after that. And the idea really is to get Agnew up to about 1.7 million, 1.8 million tonne a year, and that will translate at the average grades we're seeing at somewhere around about 270,000 ounces a year. So we would think that we can get reserve life for Agnew at that level for at least 5 years and probably even longer over time. So that's Agnew. And we think that, that will be good capital that we can allocate to.  Coming back to Patrick's question, it's not so much about the production profile. It's about what are the returns we can get. Can we get the returns that we've set for ourselves on these assets? It's not going to be about driving ounces for ounces' sake. You've heard me saying for 8 years that, that game is over. It's about actually creating fundamental incremental value for us, whatever the production profile is for the group.  Damang, again, it's a function of saying does for the next cutback make returns for us? Is it worth spending the capital to get those extra years of life? And that's the study we're going to be doing over the course of 2021. If we see more of what we're seeing at the moment, I think the chances are very good. Because once we're in the Tarkwa Phyllites, once we're in that ore domain, we're starting to see really good grades coming out. So that gives us a good idea as to what to expect further down. And laying back the walls a little bit further to access that deeper material, it may well be a good project for us, but the numbers have got to stack up for us, and then we'll make the decision.
Shilan Modi: Okay. Just a final comment for myself. Nick, thanks for all the debates we've had over the last decade or so. I can count there's a lot. I think we've had quite a few arguments, and I think we're both better for it. But thank you for all the guidance and the bets that we've had over the last long while.
Nicholas Holland: Thank you so much. Appreciate it.
Operator: Our next question is from [indiscernible] of Bloomberg Intelligence.
Unidentified Analyst: Just two sort of follow-up questions. So one is on Salares Norte. And I apologize if you've probably covered this ground on previous calls. I think, if I'm not mistaken, the water source comes from the aquifers in the surrounding areas. So I mean, has there been any sort of pressure on you to try and supply desalinated water? And I'm just putting that in context of some of the copper mines where the pressure does seem to be ratcheting up. So that's the first question.  And then a second simple one. In Australia, what sort of percentage of your costs are in Aussie dollars? The reason for my question is your guidance is predicated on an Aussie dollar of AUD0.75, I think it is. So just trying to get a sensitivity in case the Aussie dollar strengthens.
Nicholas Holland: Yes. So one of the things that I was pretty insistent on given where we are in the Andes, 4,700 meters up, that we couldn't start the feasibility study until we had water, and we had permitted water. So we've got an exploration company to actually do the exploration for the water through boreholes. They found the water. We've got more than enough water for the projects with some buffer. And then we got it permitted. And all these questions were asked, we have to do a full catchment study, what's the upstream impact, what's the downstream impact, et cetera. And then we've got to permit it. Only then did we start our feasibility study in earnest. Because no water up there, no projects, no mine.  In addition, as we went through the environmental assessment and these submissions to the authorities, we again had to go through the water, even though it was separately permitted. And a lot of the same questions were asked. So there's been real visibility and transparency to the authorities. There's been engagement with communities, other stakeholders. There's no indication at this stage that anyone is concerned about the water we're using.  And I must just say, based on the catchment study and analysis we did, there's virtually no impact on the catchment area. We're using not much water at all. It's a very small process plant. It's only 2 million tonne a year process plant because it's very high-grade ore. So we're quite comfortable on that. We've had no pressure. If anything, we've just had support from the government, all the way from the President himself who has written to me indicating his support for the project. We've had the mines minister on site. The communities in the nearby town of Diego de Almagro are very supportive. We've got shared value projects working with them, local employment opportunities, local procurement. Everyone wants this project to go. So no indication. It's been on our risk register. We'll continue to look for other water sources if we need them, but we don't see this as a major risk at this time.  The second question, if you just remind me again what it was.
Unidentified Analyst: Just your -- what percentage of your costs going in Australian dollars in Australia?
Nicholas Holland: Yes. Paul have a go.
Paul Schmidt: Thanks. I'll ask it. The only real exposure we have in Australia to non-Australian dollar-denominated cost is the oil price affecting diesel. Slightly in excess of 95% of their cost are Aussie dollar-based. So no exposure to the U.S. dollar.
Operator: Our last question is from Catherine Cunningham of JPMorgan.
Catherine Cunningham: So two questions for me. The first one is, where geographically are you seeing cost inflation? And what mine inputs are giving you the most concern in this regard? And then linked to this, should we think of any radical changes to cutoff grades across the reserve base or is long-term mine plan basically sticking to stable assumptions in the current higher gold price environment?  And then the second one is a little bit philosophical. Basically, the growth pipeline seems to be pretty full. Your shares are pretty cheap. So as you have the [indiscernible] spreads, where is the key for a catalyst for the hidden value, in your opinion?
Nicholas Holland: You're breaking up. We can't hear you. I don't know if you can get closer to a microphone, but I couldn't hear. I think got every other word, what you're saying there, sorry. If you can repeat that?
Unidentified Analyst: Is this better?
Nicholas Holland: A little bit better. Give us one question at a time.
Unidentified Analyst: Okay. So the first question is, where geographically are you seeing cost inflation? And which mine inputs give you the most concern? And then linked to that, should we think about any radical changes to categories across the reserves that base? Or is long-term mine plan still sticking for stable assumptions in the current higher gold price environment?
Nicholas Holland: Yes. So we have struck our reserves at $1,300 U.S. price, and we've used AUD 0.75 in converting for the reserves, and we've used ZAR 650,000 a kilo in South Africa. Those are marginally up on the previous year. So obviously, that will dictate the cutoff grades, along with the cost inputs, that we use in the business. So amongst other factors as well, other technical factors. So that's something we want to stick to. We have been running at $1,200 for the last 2 to 3 years. So we want to try and stick to around $1,300 for a number of reasons.  One is gold prices, of course, may come back. We want to give ourselves a little bit of headroom. And the other thing is, once you start relaxing cutoff grades, and I've looked through this in the previous cycle, it's very difficult to reconfigure the operations back to where they should be. So we're going to be quite cautious, particularly as a lot of our operations are plant constrained. There's no reason for us to be dabbling with lower grade. Let's stick to the high-grade stuff.  Cost inflation, we're not seeing really a lot of cost inflation. I think more of the cost increases you're seeing for us is mines that are may be getting a bit deeper, mines that are getting further away from the process plant with increased haulage distances, that sort of stuff. But we're not seeing big inflationary increases at this time.  I'll just ask Paul if he wants to add to that.
Paul Schmidt: No. Nothing much, Nick. Obviously, South Africa, we've got to deal with Eskom increases and wage increases. But fairly benign on the inflationary side, as you say. It's more change in mining type or mining depth.
Nicholas Holland: Okay. Second question?
Unidentified Analyst: Okay. So the second one is a little bit more philosophical. So the growth pipeline looks pretty full. Your shares are pretty cheap. So as you hand the [indiscernible], where do you see the key sources and catalyst for the hidden value?
Nicholas Holland: Sorry, you just broke up again. Where do we give our share price is cheap? Where do we see the?
Unidentified Analyst: Where do you see the key sources of hidden value and the catalyst for unlocking them?
Nicholas Holland: Well, I think it's a function of delivering the guidance we've set out for you today at the cost envelope we've given you. We're fully exposed to the gold price. This year, there's no hedges or anything that capped the gold price. We bought some floors in Australia to give us downside protection, but we're fully exposed to the gold price.  And if you look at our cost envelope relative to the spot price today, even though it's come off a bit, there's significant value there. And even though we're going to be building Salares Norte, it looks like we can fund it out of cash flow and keep our debt position pretty tidy if we stick at these sort of price levels.  And then the catalyst will be there's rising production this year. We're up another 5%. There's potentially rising production from South Deep. And of course, there's Salares. Salares, if you bring in 450,000 ounces a year at somewhere around about $465 an ounce, I think you can see what additional cash flow that's going to bring in as we ramp up in 2023 on top of the existing base.  And the other area of hidden value is our ability to continue to replace reserves and to have a strong profile of 2 million to 2.5 million ounces over 10 years, which isn't necessarily evident in our average reserve life, but it's getting close as we continue to put back more into reserves, as you've seen, than what we're depleting. So those areas, I think, of hidden value that could well be recognized in time.  Any other questions?
Operator: We have no further questions from the conference call.
Unidentified Company Representative: Okay. There's two last questions on the webcast. From Nina at Goldman Sachs. One, Asanko. Could you elaborate why Galiano Gold expense production declined slightly in 2021? And what's happening with yields? When do you think it will trend back to reserve grade?
Nicholas Holland: At Asanko?
Unidentified Company Representative: Yes.
Nicholas Holland: Yes. So look, Galiano are doing a whole remodeling exercise, as they have mentioned in their release during the course of the year. I think what's throwing the mat is the fact that we lost Nkran Cut 2 earlier than what we thought with the wall failure. That meant they had to reconfigure the plan. They had to do another pushback at Akwasiso. They had to accelerate mining in Esaase South and Esaase Main. And in the mix, the grade is what they got. They ran out of the flexibility that ordinarily we would have had if we had Nkran Cut 2.  So essentially, you mine what you've got and you get the grade that you get, and that's flown through, obviously, into 2021. And that's one of the reasons they're doing some more infill drilling of the key ore sources. That's one of the other reasons they're pushing their exploration, particularly on Miradani, and some other ore sources looking at potential further pushbacks at Nkran, Nkran Cut 3, Akwasiso, rather, another stage and then see how we put it all together. And hopefully, that will improve the overall grade and the overall yield will get through the plant taken into account, the metrological recoveries that we can expect to get.  So I think it's fair to say it's a very dynamic situation at the present time, and there's probably another 6 months of work to be done before we'll have proper line of sight as to what an updated life of mine plan is. But the joint venture partners and ourselves are obviously treating this as priority and working through this as we speak.
Unidentified Company Representative: Okay. The second one from Nina on Damang. You've guided for an increase in output of over 20% for 2021. Could you discuss how you plan to achieve this?
Nicholas Holland: Yes. So the increase in production at Damang is all on the back of the grade. As we mentioned when we announced the Damang reinvestment project, we expected the grade to increase as we got into the higher-grade ore domains, which we are now in. And so what you're seeing here is pretty much in line with what we expected to see. So the volume through the process plant is still around about 4.5 million tonnes a year. But on the back of a higher grade, somewhere around about 1.9 or so, 1.85 to 1.9 grams a tonne. That's going to give us a really good year of production, not just first year, but also the next two years thereafter. So we're seeing what we expected to see based on the detailed feasibility study.
Unidentified Company Representative: Okay. A final question from [indiscernible] from Investec. How do you think about hedging going forward beyond 2021 given that peak capitals in 2021? Will you look at being fully exposed to the gold price?
Nicholas Holland: So I'm going to ask Paul to talk about our hedging philosophy because him and I has spent a lot of time on this. And I think we both got very strong views.
Paul Schmidt: Yes. I think we are fully exposed to the gold price this year. Our hedging policy is quite simple. It's either to hedge marginal operations or hedge years of heavy capital investment. The reason we put the puts in Australia this year is, as you know, we've got over $500 million additional capital going into Salares. Board was worries what happened if the gold price dropped this year. But as we stand at the moment, there should be no more hedging for the rest of this year or in the future, but that depends again on what happens with projects or marginal operations. But at the moment, no hedging thoughts at the moment going forward.
Unidentified Company Representative: Okay. Nick, final comments.
Nicholas Holland: Well, I just want to thank everyone for dialing in and for the very insightful and penetrating questions. We've had a very exciting 2020. Sadly, we've lost a few people due to COVID. We hope that won't be the case in 2021. And we're hoping that Salares Norte will continue ahead of plan as it is right now and that the rest of the operations continue to perform exceptionally well. But above all, let's do it safely. Let's not forget safety first and the health of our people.  So I want to thank everyone. Take care, and we look forward to talking to you some time in the future. Thank you very much for dialing in.